Operator: Good morning and welcome to the DarioHealth First Quarter 2022 Results Call. all participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. Now, I'd like to turn the call over to Mr. Glenn Garmont, Investor Relations. Please go ahead. 
Glenn Garmont: Thank you, Nick. Good morning everybody and thank you for joining us today for a discussion of DarioHealth's first quarter 2022 financial results. Leading the call today will be Erez Raphael, CEO DarioHealth who'll be joined by Rick Anderson, President and General Manager of North America at DarioHealth. After prepared remarks, we'll open the call for Q&A. An audio recording and webcast replay for today's call will also be available online as detailed in the press release invite for this call. For the benefit of those who may be listening to the replay or archived webcast, this call is being held and recorded on May 12th, 2022. This morning we issued a press release announcing our financial results for the first quarter 2022. A copy of the press release can be found on the Investor Relations page of DarioHealth's website. Actual events or results may differ materially from those projected as a result of changing market trends, reduced demand, or the competitive nature of DarioHealth's industry. Such forward-looking statements and their implications may involve known and unknown risks, uncertainties, and other factors that may cause actual results or performance to differ materially from those projected. The forward-looking statements discussed on this call are subject to other risks and uncertainties including those discussed in the risk factors section and elsewhere in the company's 2021 annual report on Form 10-K as well as the first quarter 2022 Form 10-Q filed this morning. Additional information concerning factors that could cause results to differ materially from the company's forward-looking statements are described in greater detail in the company's press release issued this morning and in the company's other filings with the SEC. In addition certain non-GAAP financial measures may be discussed during this call. These non-GAAP measures are used by management to make strategic decisions, forecast future results, and evaluate the company's current performance. Management believes the presentation of these non-GAAP financial measures is useful for investors' understanding and assessment of the company's ongoing core operations and prospects for the future. A reconciliation of these non-GAAP measures to the most comparable GAAP measures is included in today's press release regarding our quarterly results. With that, I'd like to introduce Erez Raphael, Chief Executive Officer. Erez? 
Erez Raphael: Thank you, Glenn and thanks everyone for joining us this morning. So, for all of you that know the story, you know that we are very, very consistent with the story for the last few years. We always talked about a few pillars, the multi-condition direction with the acquisitions that we did in order to develop the best digital therapeutics company in the world that support multiple conditions. We talked about moving from direct to consumer to B2B. And we talked also about a super user-centric business model with a SaaS kind of, revenue -- recurring revenue that end up with high gross margins for -- which is something that's super relevant for software company like Dario. I think that in Q1 we are starting to show all -- how all these strategic decisions are reflecting in the way that we operate and also in our financial profile. I think that as management, we knew how the market is going to evolve we knew that health care will be super consumer-centric and we knew that it will have to be more digital. And we made all the decisions and we started seeing this quarter where it's going to take us to. And I think that if you're going to look on all the financial profile this quarter, you can see that we improved almost all the parameters starting from the topline, the merge between direct-to-consumer to B2B, the profitability, and the gross margins, we have seen a significant improvement. We have seen a reduction in the operating expenses mainly because we are shifting the business from direct-to-consumer to B2B. So, we spent less money on digital ads. And the most important thing is also the loss. In this environment, we showed a significant reduction in the loss for the quarter and I'm going to get into the numbers shortly, but before that, I want to talk about a few fundamental development that we had this quarter. So we signed overall 14 new accounts including two health plans. Health plans are super important for our business. Usually, they are providing much higher revenue per account. Overall, we have 61 accounts so far, 80% of them are started launch. Overall, we have a total ARR of $40 million in a full implementation of these accounts. If we are looking on another very, very strategic activity that we had in this quarter was the Sanofi agreement. We started the relationship a couple of months ago. We are making a progress very well and we have here two elements that we need to consider. One is the offering. We think that with the capabilities of Sanofi and the digital therapeutics platform that we have we can create offering that is going to be first in class in the market also moving forward. So the R&D teams are already working together and we're going to get the best platform in the world. Also on the commercial side in addition to a $30 million that will be paid by Sanofi to Dario from which is going to be paid this year. We're also working together with the commercial team in order to push the solution into the market. We started in the US with health plans. Rick is going to elaborate about it. Another important point is the strategy of multi condition that we have and this is something that proved to be a very smart decision, not only from a financial profile, but also from a go-to-market perspective. We are gaining more and more demand to the multi-condition and we think that a significant portion of the accounts that we're going to sign this year and next year are going to be for the full suite. Also on the implementation side, we are making a nice traction and keeping above 35% enrollment rate for the accounts that we are launching. Few highlights on our financials. So we ended the quarter with above $8 million in revenue which is 124% higher than what we showed in Q1 of 2021 and it's also approximately 34% higher than what we showed in Q4 of 2021. So it was a nice jump quarter-over-quarter sequentially, think that the merge between B2C to B2B is also interesting. For the first time, B2B is exceeding B2C revenue. And Sanofi is going to contribute $8 million for the year. It had also contribution for this quarter. And just as a reminder, this is a multiyear contract that will contribute revenue also in the next quarters and also next year and the year after. So this is also something that is going to strength our financial profile. In terms of expenses, if we are looking on the overall expenses excluding the stock-based compensation, acquisition expenses and depreciation on the first quarter of 2022, we managed to reduce the overall expenses to 14.8. If we compare it to Q4 of 2021, it was 16.4. So this is a good reduction. And I think that we're going to see this trend moving on to the next quarter because one of the things that we are starting to stop doing is investing a significant budget into the direct-to-consumer. We are moving budget to the B2B, which is something that is more cost effective in terms of the cost per acquisition and that's something that will also help improve the financial profile. On the gross margins on the non-GAAP, we showed 61%. We talked about it in the last quarter. Eventually, the goal of the business is to be above 70%, 75%. That's the goal of the business. We talked about it a couple of months ago and we guided somewhere between 50% to 60%. And now, we see that it's around 61% on a non-GAAP basis. We're going to continue this trend. Overall, it's not going to be super stable in the next few quarters, but overall it's going to be in these ranges and we're going to keep improving it. We are confident with the goal of 70% to 75% moving forward. So we are very, very positive about the gross margins as well. On the operating loss, this one, we showed a significant reduction. We had $14.9 million loss, if you're looking in Q4 when we exclude the stock-based compensation acquisition expenses and depreciation and we were down from $14.9 million to $9.72 million. This is a significant reduction and we are always looking on our losses and how we can operate in this environment and be super effective. So, this is something that we are very proud in this 35% reduction.  Overall, if we are looking on the burn rate, we had a burn that showed up a bit high. This is something that is not a run rate, it's temporary. We built a significant size of inventory. We are operating in a very challenging environment from a supply chain standpoint.  And with so many accounts that we have signed and we need to launch, we felt that in order to put the business in the right situation, we need to have a higher than usual inventory. So we built more inventory in Q4 and in Q1. So, we paid for that. This is one thing. Another thing is that payments that we should get -- already got from Sanofi and others showed up only in Q2. So, this is something that was showing a bit higher than the usual run rate. So, I wouldn't be too worried about the burn. It's simpler with Q1.  Looking on the overall balance sheet, we raised additional $40 million in Q1 which is something that was in addition to $36 million that we ended the year. So, from a cash position we feel super confident that we have the cash to execute on our plans and we have cash to get into 2024.  So, with that I want to hand over the call to Rick to give you additional insights on what's going on the commercial side. Rick? 
Rick Anderson: Thanks Erez. Q1 represented a milestone quarter for Dario. We saw substantial increases in revenue both sequentially from last quarter and up over 100% from last year as Erez mentioned. This is being driven by the launch of accounts signed in 2021 and early 2022 and we're seeing the expected increase in B2B revenues at higher gross margins. For the first time B2B revenues in the quarter exceeded B2C revenues which is a watershed event for us. We signed two health plan accounts in the quarter, one of which recently launched and the other is expected to launch in the second quarter. Both are expected to contribute to revenue in the second quarter and beyond of this year. We also entered into the $30 million strategic agreement with Sanofi in the quarter. We believe these milestones are substantial validation of our strategy to focus on the B2B market.  With the additional contracts we have signed in 2022, we now have 61 contracts on our path to our goal of 100 total contracts for 2022. The majority of the agreements announced in this first quarter are what we call off-cycle, employer health plan and provider agreements and as such are expected to generate revenue in 2022.  Generally, it takes us about 60 to 90 days to implement these types of customers. The exception to that as I've discussed in the past is when a customer has a different targeted launch date. In some cases that will be, but we'll see more of those types of agreements as we get towards the end of the year. With the addition of these new agreements our contract value is now approximately $42 million.  And as Erez mentioned, we continue to see good operational metrics in the launched accounts with enrollment of approximately 40% which is translating the launched accounts into increasing revenue and we expect that to continue throughout the year. Our integrated multi-condition platform strategy continues to generate interest in the employer and health plan markets with customers recognizing the value of both less vendors and one member journey for their employees and/or members versus our competitors that generally have modules rather than one integrated platform.  Consistent with past quarters approximately 3/4 of our pipeline is now multi-conditions. So either full suite or more than one condition that we have where the multi-condition offering provides more value to both our customers and approximately 4x to 5x more revenue to Dario than a single condition solution. We continue to make progress in all three of our B2B sales channels and with strategic partners.  For employers we remain in the early part of the sales cycle for self-insured employers that are on a January 1 to December 31 cycle which represents approximately 70% of all employers. Consistent with this cycle we will see RFPs or request for proposals, peaking during the second and third quarters and contracting in late third and fourth quarter and for those accounts that we'll launch in the first quarter of 2023. This is the normal employer cycle. And we would expect that, we will see those employer contracts as I said, in the third and fourth quarter. What we're seeing in the first and second quarter are primarily off-cycle, health plan and provider accounts. Outside of the main employer cycle, we continue to see strong demand for our standalone BH offering and other off-cycle customers, which we expect will generate additional contracts and revenue throughout 2022.  All of our recent contract announcements have been these types of off-cycle customers. With regards to health plans, during our year-end call a short time ago, we said we expect an additional one to two plans in the coming quarters. Since then, we have announced an additional plan and we still expect additional plans in the coming quarters of 2022. In addition, we anticipate, completing an expanded agreement with our existing national plan in the second quarter, which represents an acceleration of our originally anticipated timing. This expanded agreement has the potential to bring more than 10 million members onto the platform, over the next couple of years. And in 2022, we anticipate multiple millions in revenues from this agreement. The implementation of the Sanofi agreement is well underway. Sanofi began promoting the entire Dario suite to health plans in the second quarter, immediately increasing our health plan sales resources by more than 10 times and bringing additional data and targeting resources to the Dario sales team. Revenue earned under this co-promotion, is in addition to the $30 million overall Sanofi contract value we have discussed. Over the last couple of months, we have been collaborating with Sanofi to define new and enhanced solutions that will be built on the Dario platform beginning in the second quarter of 2022. And we're very pleased with the speed which we've gotten off to the launch of the Sanofi agreement. Sanofi is leveraging its internal data and real-world evidence teams to create studies around the Dario solutions .And we believe that these will have increasing value as the market moves to demanding, increasing levels of evidence from digital health providers in the coming years. With Sanofi well underway, we are continuing additional strategic relationship discussions that we believe could add substantially to revenue at the end of 2022 and into 2023. With regard to our remote patient monitoring or provider offering, we've continued to see contracts with providers in the first quarter and expect that we will continue to see additional contracts and expanding revenue in the second quarter. Given the traction that we've achieved in the health plan employer and strategic markets, we have made a strategic decision to rotate sales resources, away from the provider market and into markets with higher near-term revenue opportunities which we believe will increase the efficiency and improve our operating margin. Back to you, Erez.
Erez Raphael: Thank you, Rick. So in light of the recent macro environment, I must say that we are super excited about our positioning, as a chronic management company that is changing one of the big industries in the world. And we see, that other health care players are trying to DarioHealth [ph] our business model, that is a super user-centric, recurring revenue driven from tech. And we do see and aware to the challenges of companies on the telemedicine part. I just want to remind again and emphasize that Dario is a user-centric company that try to drive a change from the consumer as opposed to just working with the physicians, in a kind of episodic relationships between patients to physicians here. We are scaling up, chronic condition management from the users and I think that it makes a very, very big difference. And we see that the rest of the market is trying going there. And we do believe that moving forward, we're going to see more strategic agreements with companies that are coming from the health care, more traditional players that are also becoming more-and-more believers of digital health and digital therapeutics is something that would create a lot of value and will change health care. And therefore, they are looking to have deals with companies like Dario. So I expect to see more of those moving forward also this year. Other than that, we believe that, we're going to show continuous improvement in our financial profile including growth. We super delivers in this SaaS model and hitting our objective of 70% to 75% gross margins, with 50% to 60% gross margins on a non-GAAP basis for this year. We're going to be super cautious in terms of how we are spending our capital. We're going to keep lower the investment into the direct-to-consumer, and we're going to grow the business from the B2B, and not from the direct-to-consumer. So this is something that will continuously improve our financial profile and reduce our overall expenses. And other than that, again, on the cash position we feel comfortable with where we are and with the run rate into 2024. We do believe that in case capital will be needed we'll be able to find sources that are not dilutive for the company. The environment is something that we understand, and we look into what's happening in the environment. But, especially in this environment, we believe that a very successful business that have a future, is something that would thrive and create value to investors. And so we're going to keep execute on the fundamentals. With that, I want to open the session for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] First question comes from Alex Nowak, Craig-Hallum. Please go ahead.
Unidentified Analyst: Good morning, everyone. This is Chase on for Alex. First of all, congrats on the quarter. Thanks for the questions. So first from me, revenue in the quarter from B2B now exceeding consumer is great to see. Any additional granularity, you can give, as far as the breakdown you saw this quarter? Maybe, how it compares to sequentially or year-over-year? And then maybe what kind of growth rates you're seeing from the two franchises would be helpful for us. Thanks.
Rick Anderson: So appreciate the question. I would say that, a lot of what we're seeing is the culmination of the efforts that have been taking place over the last year, and two years associated with that. We had a significant number of launches in the first quarter, as we expected. We're not doing a breakdown in terms of on an individual customer basis, but I would say that, we saw growth across all of our market channels in terms of revenue and we expect that we will see that continuing. I would say that, probably the smallest contribution relative to the other markets would have been health plans in the current quarter, as that continues to ramp up, but we expect that that will catch-up rapidly in the second and third quarters with the new health plans coming online. As I mentioned, one of which – one of the new ones has already launched and the other one we expect to launch in the near term. And with that, we expect that that will add to the first one that we have in the current year, and we'll see acceleration of that catching up to the other segment.
Unidentified Analyst: That's helpful. Thanks. And then, you had previously mentioned you mentioned on the call today the additional phases, you expect with your large national plan customer, previous comments was expecting those additional phases to come maybe as early as Q2. Any further clarity, if that's still the case. And then what these add-ons might add to your ARR?
Rick Anderson: Yes, we expect that, that will happen in Q2 from an agreement point of view. And once that's concluded, we'll add it to the AAR, but it's – from a potential ARR value once fully implemented, we'll approach eight figures.
Unidentified Analyst: That's good to hear. And then concerning gross margins, you gave that 50% to 60% guide last quarter and certainly on track there. Can you talk a little bit more about what your expectations are maybe for the rest of the year? Do you expect that it's up sequentially from here, or do you expect some noise, or should we think things pretty constant through the year? That's helpful. Thanks.
Erez Raphael: Yeah. I think that, we might see some noises, because it's ramping up, and because there are revenues that are coming from different channels. It's something that, we're going to see fluctuations, but overall that's going to be the kind of the baseline. So I wouldn't be worried, if it's going to go 2% down or 3% up. When we are launching an account usually the first three months we are shipping a lot of hardware and devices and this is something that show up has a very low gross margin of the first couple of months of the account. After four months or five months that the account is in production we are starting to generate revenue that is much more from software. So overall, a single account will get to 75%, 80% overall gross margin. And the average 75% to 80% might happen after six months or seven months or eight months once we are finishing all the enrollment and we are playing only the software kind of game. So it depends a lot on how many accounts we are launching in every quarter and what is the intensity of the accounts. But the more accounts we have in production the higher going to be the gross margin. So one of the things that it's very hard to anticipate is the intensity of the launch for every month and every quarter and then this is something that creates the fluctuation. But overall the business should be in this 60% figures for the next few quarters until it's going to go to the next level and achieve the 70%-plus. That's how you should look at it. 
Unidentified Analyst: Got it. I see we're stating there directionally. And then if I could sneak one more in. As far as how the ramp is looking compared to your guys this internal model would be helpful. I mean it certainly seems like these accounts are ramping nicely in Q1. Is it kind of progressing what you guys were expecting, or maybe a little bit of ahead expectations and then maybe how you're thinking about the rest of the year? 
Rick Anderson: I would say generally speaking they're ramping as we would have anticipated maybe a little bit better. As you know I'm reluctant to move numbers upward until we have more proof points around that. So I mean, I would say it's been a little faster than what we anticipated, but internally we're keeping our ramps where we've had them historically. 
Unidentified Analyst: Got it. That’s helpful. Congrats again, guys. I will hope back in queue.
Rick Anderson: Thank you.
Erez Raphael: Yes. One more thing that I want to emphasize on the gross margins is that you need to remember that we have also the strategic agreement with Sanofi, which is also something that is adding a component to the gross margins that are generally improving the gross margins. This is why I think that in the next few quarters we're going to see fluctuations between the traditional B2B Sanofi and potential other strategic deals plus the B2C that is getting a smaller portion in the overall revenue. So all these components have different contribution and that's something that will impact on the fluctuation. But overall it's going to be higher than what we have seen in the last two years. 
Unidentified Analyst: Thank you.
Erez Raphael: Next question.
Operator: Thank you. Our next question comes from Charles Rhyee of Cowen. Please go ahead, sir.
Charles Rhyee: Yes. Hey thanks for taking the question, guys. Congrats on the quarter. Just a follow-up. For Sanofi it sounds like you're saying that that first $8 million payment comes in the second quarter. What is the accounting for that? Does that show as revenue and drops to the bottom-line? Just can you just give us a sense for how we should accompany that in our models first. 
Rick Anderson: Hi, Charles, it's Rick. The -- so we wouldn't -- in the second quarter we would not expect $8 million. We would expect a portion of the $8 million that in the current year and the revenue recognition for Sanofi is dependent on when the elements are delivered. So some of that is in the second quarter and then as the development is ongoing in the second, third and fourth quarters we would expect that the remainder of that revenue would be recognized. So we're going to see revenue recognition across the year as it relates to that. 
Charles Rhyee: Okay. So we'll see an increase in receivables? And then -- or is there a separate asset created for that? But then, we'll see revenue recognition across the rest of the year, if that's the right way. 
Rick Anderson: We'll see deferred -- depending on the timing you'll either see receivables or deferred revenue.
Erez Raphael: Yes. There's something to emphasize. We did recognize Sanofi revenue also in Q1. We had a nice portion of that in Q1 as well. So it's going to go along the whole year. We're going to see it every quarter and we're going to see it also in the next few years. There are multiple portions of this revenue. Some of it is going to development services some of it is kind of license related and market access related and data related. So there are a few portions there. Each of them have a different gross margins, but overall, this is something that -- I wouldn't call it recurring, but this is something that is happening every quarter and also every year for the next few years. So I think this is something that should be modeled as well.
Charles Rhyee: Okay. And so, when you talked earlier about the fact that B2B revenues were greater than B2C revenues this quarter, the Sanofi revenue you count it as part of B2B. So that would then correspond to the other comment that health plan contribution still was relatively small. Is that right?
Rick Anderson: Just in terms of the ramp on health plans it was less of a ramp than say the employers because employers were -- we launched basically all of the January to December cycle customers. We launched -- that we announced in 2021 and some of the stuff that was announced really in early in 2022, launched in the first quarter. So that's got your most significant ramp to it, but yes we did recognize revenue related to Sanofi as well in the first quarter and some health plan too. I'm just -- my comment was with more health plans coming on you're going to see that ramp happen -- continue to happen in the second, third and fourth quarter.
Charles Rhyee: And you treat Sanofi as B2B, right?
Rick Anderson: Correct.
Charles Rhyee: Okay. You talked about $42 million in contract value. Does that suggest that as we exit the year, we should be looking at sort of a run rate on a quarterly basis, including the Sanofi, call it $12-ish million? Is that sort of the right range that we -- should we ramp up to that kind of level? Does that sound about right?
Erez Raphael: Yes. So when we started to show this model at the beginning of the year, we talked about the time for implementation. We call it, like, two to six quarters time for implementation. So the idea is, yes, I mean, we need to get there towards the end of the year beginning of next year, once the accounts are fully implemented under the metrics of the objective of 35% to 40% enrollment rate and we are on track with this number. So we think that that's more or less should be the run rate getting.
Rick Anderson: And just to clarify one thing in terms of that is that, there's two pieces to that when Erez says that number of course. It usually takes us 30 to 60 days to launch an account, unless it's -- account that is -- the customer says we want to launch on a specific date like January 1, for example. And then -- so that could take longer in those cases, from contract signing to launch, and then it takes us a couple of quarters to ramp up the revenue. So it doesn't take us that long to implement it. It's just to get to full run rate on those kinds of contracts it takes a few more quarters.
Charles Rhyee: Okay. That's helpful. And then, just to clarify, the large natural health plan, I think, you said that, it's not -- the phase -- the second phase is not in the ARR, but if there was that would be an eight-figure type of deal. Is that just for sort of the second phase, or is that in total?
Rick Anderson: The easiest way to think about it is, in the second phase. That's really what the numbers I was speaking to were coming from.
Charles Rhyee: Okay. Perfect. Great. I’ll stop there. Thanks for the questions and congrats, again.
Rick Anderson: Thank you.
Operator: Thank you. Our next question comes from Rahul Rakhit, LifeSci Capital. Please go ahead.
Rahul Rakhit: Hey, guys. Thanks for taking the questions. Rick, I know you commented on the sales cycle for the employer market and provided some guidance on how we should think about the rate which you guys kind of had those employers throughout the year. But I was wondering if you could provide some color on the other two segments as well? I guess broadly speaking, how should we think about the number of customers that you'll guys be adding in Qs two and three versus Q4?
Rick Anderson: So, thanks for the question. When we think about health plans, the health plan sales cycles are 12 to 18 months. Obviously, now we've had the opportunity to get to that sales cycle and that's why we're starting to see accounts come in. I would expect, we'll probably see another one to two health plans, in 2022 based on where we currently sit. Maybe we'll do a bit better. It's a little hard sometimes to predict their exact timing, on when they're going to do things. Providers, I would expect that we'll see a small handful of providers in the second and third quarter, coming through as I said in -- during the presentation is that we're rotating sales resources out of that segment. So, I think we'll see a little slower growth, as that goes forward. And we're doing that because of the fact, that we believe that we'll be more efficient on top line and bottom line by doing that and that that will give us the best growth rate around that, but that's the kind of rate that I would expect. All of those are, I call it off cycle just because the employer January 1 to December 31 cycle is such a defined cycle and none of the other market segments are on any kind of cycle like that. 
Rahul Rakhit: Got it. Okay. I really appreciate that. I guess, kind of based on prior guidance, I guess, we're expecting 35 or so more customers there. So I guess just for clarification, you kind of still expect the majority of those to come in late Q3, Q4 but we could expect I guess a handful or so in Q2 or early Q3? 
Rick Anderson: Yes. I mean, I think we'll continue to see the types of numbers that we saw in the first quarter. We'll see in the second and third quarter probably a bit of acceleration. And then I would say, the third and fourth quarters where you're going to see more accounts because of the fact there are more contracts, because that's when we'll start to see the employers that are on a January to December cycle, which is 70% of employers that's when they'll come in in fourth quarter. It's just by define cycle. 
Rahul Rakhit: Got it. Okay. No, that makes sense. And then, yes, I guess you kind of touched on the health plan market. So I know on its most recent earnings call Teladoc management team kind of commented on the elongated sales cycle and greater competition in the health plan market. I guess, I would love to hear whether you guys are kind of seeing the same thing? And if not, I guess what could -- could you comment on what's kind of contributing to that disconnect between what they're seeing and what you guys are seeing in this market? 
Rick Anderson: Sure. I mean I don't think, we are seeing anything that is different than what we would have expected in the health plan market. Obviously, I don't have visibility to their internal expectations versus what is happening. I would guess, that there's their product mix in terms of what they're selling into health plans, has changed and historically they haven't really sold into fully insured health plan business. It's mostly been ASO, meaning that it's really for their downstream employer customers, not for their fully insured book of business where they hold the risk. And so maybe there's some adjustment there, because there's certainly a difference in time frame but we're still seeing things happen in that 12 to 18-month sales cycle that we've talked about for many quarters, not seeing a slowdown in terms of health plans interest. If anything I would say, we're seeing more interest in digital health solutions and health plans than we did, a year ago let's say, just to pick a time for it. 
Rahul Rakhit: Got it. Okay, that's good to know. And then last one for me. I was just kind of hoping you could touch on the broader M&A strategy for 2022. I know we already have [indiscernible] locked in. But I guess, what kind of company are you guys looking for, if you are looking for any, at this point to kind of strengthen that platform? 
Erez Raphael: Yes. So the blueprint, that we see forward is to have the most comprehensive user-centric platform in the market. We are super interested in other areas. In light of the, what's happening in the market and the current valuation, it's a bit challenging but we think strategically also with our partners with Sanofi on how we can get things moving forward in a way, that we can dominate the market in the next few years. So, this is something that we are still very active about. I don't know that we can pull the trigger in this environment, but we see what's happening. We have a very well-defined strategy, on how we want to go there. 
Rahul Rakhit: Understood. Appreciate it, guys. Thanks for taking the question.
Erez Raphael: Thank you.
Operator: Thank you. Next question comes from Nathan Weinstein, Aegis Capital. Please go ahead.
Nathan Weinstein: Hey, good morning, Erez, Rick and DarioHealth team. Thanks for taking my question. Congrats on another strong quarter with revenue exceeding my expectations. So actually just one follow-up for me and that would be on the behavioral health platform. What are you seeing with wayForward in terms of customer engagement, use patterns interest, or any insights there would be appreciated.
Rick Anderson: Do you mean on the customer side or on the member side? 
Nathan Weinstein: Yes I'm curious about the interest you're seeing from – on the B2B side in terms of customers being interested in using it. And then also for their individual users, what kind of use patterns are you seeing in terms of engagement? And just any insights on how that's going would be appreciated.
Rick Anderson: Sure. So I mean the behavioral health offering comes in two flavors if you will. One is a part of our integrated solution. And as I mentioned, most of our current accounts that are in the pipeline are multi-condition and behavioral health is a popular one amongst our customers to include in the bundle and definitely it's in the full suite. And then on the standalone basis, the majority of the – what I would say are off-cycle sales include behavioral health either as a standalone or as part of a broader offering. So I think that behavioral health is – continues to be in strong demand in the current marketplace. I think if you think about the marketplace in general, there's starting to be some considerations for some of the other solutions for digital behavioral health that are out there in the marketplace in terms of cost effectiveness and how that really works. But the Dario solution that is built out of the wayForward acquisition as you mentioned is really focused on navigation and management of the what I would call low to moderately severe patients with referral out for the higher severity patients. And that model is definitely remains getting traction from that perspective. Engagement on the platform as you would anticipate for the types of acuity that I'm talking about is episodic. So we're still seeing good engagement of members on the platform, good screening of members on the platform. And I would say in 95% of the cases, the utilization as we measure it is and do it in our contracts and the way we make sure for our customers is consistent with expectations and historical results.
Nathan Weinstein: Okay. Fair enough. Thanks for the color there, Rick.
Rick Anderson: Sure.
Operator: Thank you. The next question comes from John Vandermosten of Zacks. Please go ahead.
John Vandermosten: Gain access to other state Medicaid plans? 
Rick Anderson: I'm sorry I think we missed the beginning of that. Could you repeat it? 
John Vandermosten: Yes. No problem Rick. So regarding the Colorado Medicaid plan, are there any specific considerations for this type of business? And then broaching into this, does it enable you to gain access to other Medicaid plans? 
Rick Anderson: We've actually seen fairly strong interest from Medicaid plans in general. I mean let me just start there. And I think if you think about where is the biggest demand for chronic condition management from a health plan sector commercial Medicare Medicaid there's obviously a significant number of people with chronic conditions and Medicare and Medicaid. So, we would always expect that there would be a level of interest in that area. Yes, Medicaid has different considerations. And I think that the fact that we have Medicaid plans does open the market to additional Medicaid plans. Medicaid in general is driven on a state-by-state rather than a federal or overall level. So there are variations in terms of what's covered, how it's covered, how that works. So that's some of the complicating factor in that marketplace. And then, there's also considerations around as we do outreach what are the communication pathways and implementation timelines, because the state involvement in Medicaid tends to be a little bit longer than commercial plans.
John Vandermosten: Okay. And having this one under your belt, is that help in future negotiations? I mean I guess, I'm wondering if other states like to see you have experience with it, because it is a little bit different type of business.
Rick Anderson: Yes, absolutely. I mean taking into account the fact that every state has a little different implementation of it yes. I mean when you can say, hey, look, we sold for x when they ask a question and here's how we solve for it in a real client that has real weight.
John Vandermosten: Okay, great. Yeah, that’s all for me. Thank you, Rick.
Operator: [Operator Instructions] Next question comes from David Grossman of Stifel. Please go ahead.
David Grossman: Good morning. Thank you. So, I'm sorry I joined a few minutes late, but I'm wondering if you could go back to the ARR comment. I just want to make sure that I fully understand what is embedded in that $42 million? How much of Sanofi is in there relative to full run rates and similarly for the national health plan?
Rick Anderson: So, Sanofi is currently outside of that -- the numbers that we're talking about there. Obviously, all of the other agreements that we have are in that and health plans are significant. So it makes up a good portion of that number.
David Grossman: Okay. So the first phase of the national health plan would be in that number and the second phase would…
Rick Anderson: Yes.
David Grossman: Okay. And I think you -- Rick I think you actually mentioned what the total would be or maybe it was Erez -- that 8-figure kind of number at full run rates. But can you give us any better sense of the cadence of how Sanofi and the National Health plan will impact that number as the year progresses?
Rick Anderson: I mean I think as we've talked about we're anticipating approximately $8 million in revenue in total throughout 2022 from Sanofi. That's the current expected amount. In terms of what the final ARR is on the agreement and the contract value on an overall basis with the agreement with health plan we're negotiating. That will be dependent on what the final contract is, and I mean I think we're close. But until that's done, that's a lot harder to comment on other than the comments that I made.
David Grossman: Got it, okay. Thanks for that. And just -- you guys have talked about gross margin going up and redeploying the OpEx et cetera. So any comments at all about how we should think of cadence of cash burn again as the year progresses? Should we expect to decline as the year progresses?
Erez Raphael: Yeah. I think that we're going to definitely see a decline. And I'm not sure if you joined when I talked at the beginning and I talked -- I mean I talked about all the improvement of -- in the parameters in the financial profile top-line reduction in expenses mainly because of less investing into B2C, improvement of gross margins and the bottom line. The loss in a non-GAAP if we exclude the stock-based compensations and other non-cash elements was down from around 14.59 to 9.7 in Q1. We haven't seen this reduction in the burn rate and something that I stated very clearly is that what we have seen on the burn rate is one-time for this quarter because of inventory buildup, we are launching a lot of accounts. Plus we are in award kind of a challenging environment from a supply chain standpoint. So we spent more money on building the inventory. This is one reason why we had this relatively high burn rate. And reason number two is that the payments that we are getting from some of the parties including Sanofi showed up in Q2. So this is something not Q1 and that's something that added to higher burn. Moving forward the loss in the burn should show up the same number. To your question, yes the burn rate is going to go down, definitely go down from Q1 to Q2 and moving forward we're going to also keep optimize our spend on the direct-to-consumer. We're going to spend less money there. So that's another reason why the burn rate should go down. When it comes to investing into our -- what becomes the core business, which is implementing B2B account accounts, we're not going to spend less. We're going to spend a bit more. But overall the expenses are going to be down, because the portion of the B2C is significant and this one is developing. So overall and that's the way that we are kind of call it rebuilding the business from B2C to B2B.
David Grossman: Got it. Great. Thanks for that. Why don’t we just take the rest offline. Thanks again.
Erez Raphael: Thank you so much David.
Operator: This concludes our question-and-answer session. Now I'd like to turn the call back over to Mr. Erez Raphael for closing remarks. Please go ahead sir.
Erez Raphael: Yeah. Thank you so much. So thanks everyone for joining us today. We are looking forward to keeping the company and execute. And as always feel free to approach us, Rick, myself over e-mail. Thank you and have a good day. Bye-bye.
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.